Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Silver Wheaton's 2015 First Quarter Results Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded on Friday, May 8, at 11:00 A.M. Eastern Time. I will now turn the conference over to Mr. Patrick Drouin, Senior Vice President of Investor Relations. Please go ahead.
Patrick Eugene Drouin: Thank you, Sharon. Good morning, ladies and gentlemen, and thank you for participating in today's call. I'm joined today by Randy Smallwood, Silver Wheaton's President and Chief Executive Officer; Gary Brown, Senior Vice President and Chief Financial Officer; and Haytham Hodaly, Senior Vice President of Corporate Development. I'd like to bring to your attention that some of the commentary on today's call may contain forward-looking statements. There can be no assurances that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. In addition to our financial results cautionary note regarding forward-looking statements, please refer to the section entitled Description of the Business Risk Factors in Silver Wheaton's annual information form available on SEDAR and in Silver Wheaton's Form 40-F on file with the U.S. Securities and Exchange Commission. The annual information form sets out the material risk factors that could cause actual results to differ, including, among others, fluctuations in the price of commodities, the absence of control over mining operations from which Silver Wheaton purchases silver or gold, and risks related to such mining operations. Lastly, it should be noted that all figures referred to on today's call are in U.S. dollars unless otherwise noted. Now I'd like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy V. J. Smallwood: Thank you, Patrick, and good morning, ladies and gentlemen. Thank you for dialing into our First Quarter 2015 Conference Call. 2015 has started out strong for Silver Wheaton. For the first time in our history, we've produced over 10 million silver equivalent ounces in 1 quarter. This record production was driven by the first contributions of gold and silver from the Constancia mine in Peru, along with the acquisition of an additional 25% of gold from the expanding Salobo mine in Brazil. Both of these streams should see further gains over the course of this year. The Salobo mine is currently ramping up production after expanding in mid-2014, and the Constancia mine reached commercial production just last week. Overall, the first quarter of 2015 represents a strong start to what we believe will be a prolonged period of fully funded organic growth for Silver Wheaton. In the first quarter, we reached record production of 10.4 million silver equivalent ounces, a 15% increase from the comparative period last year. While the quarterly sales volumes of 7.7 million ounces did not reflect the record production, we recognize that this is simply a timing issue, and we fully expect to see increased sales as the year progresses. Due to weak commodity price markets, our average realized sale price per silver equivalent ounce was 17% lower than Q1 of 2014. These lower prices, obviously, impacted our net earnings as Gary will discuss later. However, despite the low commodity prices, we once again maintained a healthy cash operating margin of around 70%, with cash flows of nearly $90 million. And while speaking of cash flows, our quarterly dividends continue to deliver 20% of the average cash generated by operating activities in the previous 4 quarters. Dividends remain linked to commodity prices, our organic growth profile and our ability to make additional accretive acquisitions. The first quarter was challenging as silver and gold prices were once again volatile and averaged only slightly above where they were in the previous quarter. Despite this volatility, our dividend policy proved its sustainability as evidenced by our second quarterly dividend payment of 2015, at $0.05 per share. On the corporate development front, we are still continuing to focus on finding high-quality well-managed assets producing in the lowest half of their respective cost curves. On March 2, we acquired an additional 25% of the life of mine gold production from Vale's world-class Salobo mine. While production from this additional stream began accruing retroactively to generate first of this year, the impact of sales will not truly be felt until the second quarter as concentrate sales are realized. And with this acquisition, we are well on our path to 43.5 million silver equivalent ounces of production this year. In 2019, production should achieve $51 million silver equivalent ounces, with most of that fully funded growth occurring in the next 2 years. In the current environment, there is little capital being invested by the industry. Consequently, many of the opportunities under consideration are focused on helping existing producers to strengthen their balance sheets or to assist in asset acquisitions. We already have a strong fully funded organic growth profile, and we recognize that we do not need to do deals, simply for the sake of growth. So as we continue to look for new opportunities, we will be ever vigilant to pursue only accretive acquisitions that benefit all of our shareholders. In conclusion, we believe that 2015 will be a record year of production for Silver Wheaton. Both Salobo and Constancia are expected to reach full capacity by the end of the year, and we look forward to continued optimization of the San Dimas and Peñasquito mines. And finally, we continue to see some very good opportunities to add additional accretive ounces to our existing portfolio. With that, I'd like to turn the call over to Gary Brown, our Senior Vice President and Chief Financial Officer, to provide a bit more detail. Gary?
Gary D. Brown: Thank you, Randy, and good morning, ladies and gentlemen. Prior to reviewing Silver Wheaton's unaudited financial results for the 3 months ended March 31, 2015, I would like to remind everyone that all monetary figures discussed are denominated in U.S. dollars unless otherwise noted. The company's precious metal interests generated record attributable silver equivalent production of 10.4 million ounces in the first quarter of 2015, 15% higher than the production from the comparable period of the prior year, due primarily to higher production from the Salobo mine. Approximately 61% of this production related to silver, with the remainder relating to gold. Silver Wheaton's sales volumes were lower than expected at 7.7 million ounces in Q1 2015, representing a 5% decrease from Q1 2014, due primarily to an estimated 1.6 million silver equivalent ounce buildup in precious metal produced by our partners, which will be delivered to Silver Wheaton in future periods. As at March 31, 2015, payable silver equivalent ounces produced but not yet delivered by our partners amounted to approximately 6.5 million ounces. It is important to remember that we estimated normal level for ounces produced, but not delivered to equate to approximately 2 to 3 months' worth of payable production. So our expectation is that discounts will grow over 2015, as both Constancia and Salobo continue to ramp up production. Revenue for the first quarter of 2015 amounted to $131 million, representing a 21% decrease from the comparable period of the prior year due to a combination of the decrease in sales volumes and a 17% decrease from the average realized silver equivalent selling price, which was $16.90 per ounce for Q1 2015 compared to $20.38 per ounce for Q1 2014. Earnings from operations from the first quarter of 2015 amounted to $64 million, representing a 30% decrease relative to the first quarter of 2014 with operating margins decreasing by 6% to 49% in the first quarter of 2015 due to lower commodity prices. Cash-based G&A expenses amounted to $6 million in the first quarter of 2015, representing a decrease of $2 million from Q1 2014 with such decrease being primarily attributable to lower compensation and legal costs. The company now estimates the non-stock-based G&A expenses, which exclude expenses relating to the value of stock options in PSUs, will be approximately $30 million to $32 million for 2015, slightly lower than previously estimated. Interest costs for the first quarter of 2015 amounted to $4.1 million, resulting in an effective interest rate on outstanding debt of 1.8%. Of this interest, $2.6 million was capitalized to the Pascua mineral interest, resulting in a $1.5 million of interest being expensed in the calculation of net income. Other expenses amounted to $2 million for the first quarter of 2015, which reflects the expensing of $1.3 million of debt issued costs related to the nonrevolving term loan, which was fully repaid and terminated during Q1 2015. And income tax expense of $3 million was reflected in the statement of earnings for Q1 2015, with an offsetting deferred tax recovery of $4 million relating to share issue costs incurred during the quarter being reflected in the statement of shareholders' equity. Net earnings amounted to $49 million in the first quarter of 2015 compared to $80 million in the comparable period of the prior year, with basic earnings per share decreasing to $0.13 per share from $0.22 per share in Q1 2014, with the decrease be a primarily attributable to declines in commodity prices. During the first quarter of 2015, the value of the company's long-term investment portfolio of shares and other publicly-listed mining and mineral exploration companies decreased by $8 million, which has been reflected in the statement of other comprehensive income. Operating cash flow for the first quarter of 2015 amounted to $89 million, or $0.24 per share compared to $115 million, or $0.32 per share in the first quarter of the prior year. Based on the company's dividend policy, the company's board has declared a dividend of $0.05 a share payable to shareholders of record on or about June 2, 2015. Under the Dividend Reinvestment Plan, the board has elected to offer shareholders the option of having their dividends reinvested in newly issued common shares of the company at a 3% discount to market. The operational highlights for the first quarter of 2015 included the following: Attributable production in sales relative to the San Dimas mine amounted to 1.9 million ounces, representing a 20% increase in production; and a 24% increase in sales volumes as compared to the first quarter of 2014. The increase in production is attributable to the mill expansion, which was completed in 2014, combined with the increase in the annual threshold, over which Primero retains 50% of any silver produced, which rose from 3.5 million ounces to 6 million ounces effective August 6, 2014. This was partially offset by the cessation of the supplemental silver deliveries from Goldcorp, which contributed 375,000 ounces of production and sales in the first quarter of 2014. Peñasquito generated attributable silver production of 1.4 million ounces, representing a 29% decrease from the comparable period of the prior year, with such being primarily attributable to the processing of lower grade material. Goldcorp does anticipate returning to higher grade portions of the open pit throughout 2015. Silver sales volumes relative to Peñasquito decreased by 15% relative to Q1 2014, with the payable silver ounces produced, but not yet delivered to Silver Wheaton, decreasing by approximately 300,000 ounces in the quarter to approximately 600,000 ounces as of March 31, 2015. Goldcorp has stated that a feasibility study on the Metallurgical Enhancement Project was commenced during the first quarter of 2015. This study, which is expected to be complete in early 2016 will assess the potential for producing a saleable copper concentrate and the viability of leeching a pyrite concentrate from the zinc flotation tailings. The successful implementation of one or both of these new process improvements has the potential to improve the overall economics and mine life of Peñasquito. The Barrick mines generated attributable silver production and sales volumes of over 600,000 ounces, representing an increase of over 112% relative to the first quarter of 2014. This significant increase in production is attributable to the processing of higher grade ore at both Veladero and Lagunas Norte. Other silver interests generated 1.8 million silver ounces of production, representing a 20% decrease from Q1 2014, with lower production from Cozamin, due primarily to the processing of lower-grade ore and the cancellation of the silver purchase agreement relating to Campo Morado, being partially offset by attributable production from Constancia. Over 10,000 ounces of attributable gold was produced from the Sudbury mines, which translates to 720,000 ounces on a silver equivalent basis, representing a 57% increase relative to comparable quarter of the prior year, due to a combination of the Totten mine ramping up and the processing of higher-grade material. Gold sales relative to Sudbury amounted to over 8,000 ounces, or 572,000 silver equivalent ounces, representing a 17% increase relative to Q1 2014. The increased sales volume is attributable to the higher level of production, partially offset by an increase in payable gold ounces produced but not yet delivered to the Silver Wheaton, which increased by about 1,200 ounces during Q1 2015, totaling approximately 16,000 ounces, or 1.1 million silver equivalent ounces as of March 31, 2015. Salobo produced over 27,000 ounces of attributable gold, or 2 million silver equivalent ounces, an increase of 205% from the comparable quarter in the prior year, with such being attributable to the continued successful ramping up of the second line and the doubling of Silver Wheaton's attributable percentage of gold from 25% to 50%, effective January 1, 2015. The 2 lines operated at an average rate of approximately 77% of capacity during the first quarter of 2015. Gold sales relating to Salobo amounted to almost 10,000 ounces or 733,000 ounce -- silver equivalent ounces, a decrease of 7% relative to the comparable quarter to the prior year, due to a 16,000 ounce buildup of gold produced but not yet delivered to Silver Wheaton during Q1 2015. As of March 31, 2015, payable gold produced at Salobo but not yet delivered to Silver Wheaton amounted to approximately 21,000 ounces or 1.5 million silver equivalent ounces. Attributable gold produced and sold relative to the Minto mine amounted to almost 4,000 ounces, or 267,000 silver equivalent ounces, representing a 34% decrease in production relative to Q1 2014, due primarily to lower throughput and grades. Capstone has stated that their current plan is to continue to process ore from undergone operations and lower grade stockpiles until the water use license amendment is received from the Yukon Water Board, which is expected in Q2 2015. During the first quarter of 2015, the company amended its revolving facility by increasing the available credit from $1 billion to $2 billion and extending the term by 2 years, with the new maturity date being February 27, 2020. In addition, certain covenants were amended to provide the company with additional financial disability. The company used proceeds drawn under this amended credit facility together with cash on hand, to repay the $1 billion of debt, previously outstanding under its nonrevolving term loan and terminated that loan. In addition, on March 17, 2015, the company closed an equity offering, receiving net proceeds of about $770 million. These proceeds, together with proceeds from drawings under the revolving facility were used to fund the $900 million upfront payment, due to Vale relative to the transaction, whereby Silver Wheaton acquired another 25% of the life of mine gold produced from Salobo. In addition, the company received $25 million from Nyrstar as a compensation for canceling the silver purchase agreement relating to Campo Morado. Overall, the company's cash balance has decreased by $220 million in the first quarter of 2015, with the $89 million of cash flow from operations, combined with the $568 million of cash generated from financing activities being offset by $877 million of cash outflows associated with investing activities. As of March 31, 2015, the company had $88 million of cash and cash equivalents on hand, and $800 million of debt outstanding under the $2 billion revolving facility. The company's cash position, strong forecast future operating cash flows, combined with available credit capacity under the revolving facility, positions the company well to satisfy its funding commitments, sustain its dividend policy while at the same time, providing flexibility to consummate additional accretive precious metal purchase agreements. Lastly, there has been no substantial change in the status of the audit of the company's taxation years 2005 to 2010 by the CRA. That concludes the financial summary. And with that, I'll turn the call back over to Randy.
Randy V. J. Smallwood: Thank you, Gary. Operator, we'd like to open up this call for questions, please.
Operator: [Operator Instructions] Your first question comes from Michael Gray from Macquarie Capital.
Michael J. Gray - Macquarie Research: Yes, first question on Peñasquito. At the Goldcorp Investor Day, they showed an organic growth slide for illustrative purposes only. And portrayed the metallurgical enhancement projects, the potential impact, including startup and mine life. To what extent do you guys have insights to the related PFS detail as it's and -- is it coming into focus in terms of your medium- and long-term planning and expectations?
Randy V. J. Smallwood: Well, it's not part of our forward forecast as it stands right now. And so it's something that we think it does make sense. We've had a look at the numbers and discussions with Goldcorp in terms of the cost benefit analysis. We think it does makes sense, and so. But we haven't factored that into our forward forecast. We've stuck with the same production profile that Goldcorp has.
Michael J. Gray - Macquarie Research: Okay. And would it be fair to say that it is -- is that owning a larger portion of that stream would be an ongoing key objective?
Randy V. J. Smallwood: Yes. Yes. Peñasquito is definitely one of our flagships. There's no doubt. And I would say that Peñasquito is actually just getting -- it's just hitting its stride. It's -- we know these and Michael, I know you know these large-scale well tonnage operations. They take a while to be at fully optimized, but boy, when they hit stride, they're really profitable and that's what Peñasquito is getting close to. It's sort of reaching its peak.
Michael J. Gray - Macquarie Research: Okay, great. And San Dimas, yes, it seems to be -- has expanded well, firing a lot of cylinders, especially new exploration results, high metal throughput, that are recoveries. What's your assessment as to further expansion beyond 3,000, once it gets there in 2016?
Randy V. J. Smallwood: Well, beyond 3,000 I think because they're only running at a namesake capacity of 2,500 tonnes per day and they are averaging close to 2,900 tonnes per day. I know they're going to exceed 3,000 once they get to that sort of nameplate capacity of 3,000. They are already just about there without that expansion. San Dimas is continuing to prove that when you invest into districts, such as that whole Pyrite Leach of San Dimas region, it generally returns excellent profits. It has great returns. And Camaro continues to just move this project forward, continues to invest in the exploration side. Continues to do very well on that front. And so I know the exploration success they've been having. It's definitely going to be something to consider, but we, again, we haven't even updated our long-term guidance based on that 3,000 tonnes per day yet, and we're still waiting for that long-term mine plan from their side and so we're still based on a much lower throughput level than what they're currently achieving. And we haven't yet factored in the announced expansion. So San Dimas is going to continue to be one of our flagships.
Michael J. Gray - Macquarie Research: Okay. The final question, just one. The Stratoni, I know it's a small contributor. Is it on the radar screen at all, given there was lot of -- there was pretty good exploration results down dip? And it is a carbonate replacement deposit and maybe as well, maybe a quick view on your thoughts on investing in Greece these days.
Randy V. J. Smallwood: Well, I mean, Stratoni has done well. Given everything that's going on in Greece and all the challenges that Eldorado has. I continue to believe, I mean, Greece will work its way forward, one way or the other, and I think its investments and assets like Stratoni that help generate value within Greece and I would call projects like that part of the solution and -- yes, with the challenges that Greece has right now. And so we -- we're quite happy with that asset. We've had that one for quite a while, and so it's one that we're relatively familiar with. We do think it has excellent exploration potential, and quite happy to see Eldorado putting a bit of effort into it.
Operator: [Operator Instructions] Your next question comes from John Bridges from JPMorgan.
John D. Bridges - JP Morgan Chase & Co, Research Division: Just a little clarification on the last question. The results from the Eldorado was in the Mavres Petres, which I think is a long stride from Stratoni. Is that included within your royalty deal?
Randy V. J. Smallwood: No. That area is -- I can't remember how many kilometers. I'm going to guess, it's about 4 or 5 kilometers to the west. It's been a while since I looked at the map, but it's somewhere in that range. It is actually just outside the area of the mine itself and the area of interest for the stream itself.
John D. Bridges - JP Morgan Chase & Co, Research Division: Right. And then I was just wondering, the -- why was the payments on the Salobo gold delayed? Presumably, as that material has already gone through the smelter and either on its way to, or it has been sold already? Is this some sort of agreement between you and Vale as to sort of set payment schedule to bring that into your accounts during this year? Or was it all going to come through in Q2?
Randy V. J. Smallwood: Oh, it will, I mean, our guidance would concentrate, I mean, keep in mind, we get production as of January 1. And that production is material that is happening through the mill as of January 1, right? And so the production of concentrates, typically our experience with concentrate is that it takes about 2 to 3 months for it to reach its final smelting destination, get processed and get payback from that. And so with respect to the additional production out of Salobo, we are not going to see because that started as a production as of January 1. We're not going to see the benefits of sales of that in the first quarter. We will see that hit its stride now in the second quarter because that's, essentially, the 2 to 3 month that it takes to get concentrate all the way through the whole delivery process and smelting process. I'd point out that traditionally, our first quarters have always been a quarter where we see the produced, but not yet delivered grow. And one of the reasons for that is that typically companies, our partners, will push the production and push the pipeline, that concentrate pipeline in the fourth quarter to try and improve the year-end results. And we our guidance is typically that our payable numbers are about 90% of our production numbers. And if you look back at the last 2 quarters of 2014, we were well on excess of 90% of payable relative to our production numbers, which was a pretty strong indication, and we fully expect that there was no surprises here. We fully expected that we would see an increase in that produced, but not yet delivered number within the first quarter of 2015. And so this is not a surprise for us, and then the other side, I would say is that when you sit and look at where our growth is coming from, it's coming from Constancia. Well that, produces the copper concentrate. It's coming from Salobo, again, a copper concentrate and so we're going to have yet another increase in that produced, but not yet delivered, as our production grows, and with the amount of growth that we have this year, we will see an impact on that produced, but not yet delivered. It will climb, through the course of this year. The best guidance I can -- that we can give is again, going back to that 2 to 3 months of production, and with this year, at 43.5 million silver equivalent ounces in production, it's -- that's a pretty easy number to calculate in terms of where we expect to be by the end of this year.
John D. Bridges - JP Morgan Chase & Co, Research Division: Okay, great. That's really helpful. Getting quite excited about Q2. I'm looking forward to it.
Randy V. J. Smallwood: Yes. It's not just Q2. We've got a lot of growth all fully funded coming over the next couple of years here and as we start reaping the benefit of a lot of our investments over the last few years, this is going to be exciting times. So I don't see any other question. So I just want to thank everyone for dialing in today. I do want to make a couple of closing comments. This has been a very good start to 2015, and we weren't surprised in terms of the increase. It's expected and it doesn't take much to look at that when you see our previous balances. We added more gold from one of our Cornerstone assets and reported, of course, record production for the quarter. And again, given our fully funded organic growth profile, this should be the first of many records that we're going to break over the coming quarters and in fact, the coming years. We continue to believe that Silver Wheaton offers the best option for gaining exposure to precious metals by offering a proven track record of accretive acquisitions and tangible organic growth. So thanks again for dialing in. And stay tuned for more records. It's going to be a good year. Thank you.
Operator: This concludes this conference call for today. Thank you for participating. Please disconnect your lines.